Operator: Good morning, my name is Melissa, and I will be your conference operator today. At this time, I would like to welcome everyone to the Polaris Second Quarter Earnings Results Conference Call. [Operator Instructions] Thank you. Mr. Richard Edwards, Director of Investor Relations, you may begin your conference.
Richard Edwards: Thank you, Melissa, and good morning, and thank you for joining us for our second quarter 2011 earnings conference call. A slide presentation is accessible at our website at www.polarisindustries.com/irhome, which has additional information for this morning's call. The speakers today are Scott Wine, our Chief Executive Officer; Bennett Morgan, our President and Chief Operating Officer; and Mike Malone, our Chief Financial Officer. During the call today, we will be discussing certain topics, including product demand and shipments, sales and margin trends, income and profitability levels and other matters, including more specific guidance on our expectations for the remainder of 2011, which should be considered forward-looking for the purposes of the Private Securities Litigation Reform Act of 1995. Actual results could differ materially from those projections in the forward-looking statements. Additional information concerning these factors can be found in Polaris' 2010 annual report and Form 10-K, which are on file with the SEC. Now I'll turn it over to Scott. Scott?
Scott Wine: Good morning. Thank you for joining us and for your interest in Polaris. We've been talking for some time now about our commitment to make growth happen and as we post our third straight quarter of record results for sales and net income, it should be clear that the Polaris team is dedicated to meeting that growth challenge. This morning, we'll review how the strong momentum in our Off-Road Vehicles business is being augmented by accelerating growth from Victory, our International markets and our adjacency initiatives. As the strength of our earnings indicates, we remain laser focused on margin expansion as a key aspect of our long-term plan for profitable growth. Despite weak economic conditions and heightened competition, we were encouraged by the strong retail demand for Polaris products during the important spring selling season. Throughout the quarter, we saw continued share gains in our Side-by-Side business as the performance of the new RZR 900 XP solidified its place among the market-leading RANGER portfolio. ATVs and motorcycles also increased market share, driving strong overall dealer demand for Polaris products. With our factories and supply chain operating with improving efficiency and our Monterrey expansion coming on line with additional capacity, we again outpaced our aggressive growth targets. Sales for the second quarter increased 41% to a record $607.9 million, marking only the second time in our history where quarterly sales surpassed $600 million. Polaris delivered net income of $48.7 million and earnings per share of $1.37 in the second quarter representing increases of 90% and 83%, respectively from the prior year period. Both numbers are record second quarter results for the company and demonstrate the earnings power we have when industry-leading innovation matches the 10% productivity gains we delivered in the quarter. Gross margins expanded 300 basis points to 29.2% as the team successfully offset rising commodity costs, and ongoing investments in our manufacturing realignment. It is worth noting that we expect the recently completed second quarter to be the last period where we experience gross margin dilution from our investments in Monterrey. While there will continue to be expenses associated with the realignment, savings should exceed costs going forward. Based on the strength, quality and breadth of our first half sales and income growth, we are making another upward revision to our full year 2011 guidance. We expect the exciting array of new products that we'll unveil next week in Nashville to bolster demand and now project full year sales to approach or exceed $2.5 billion, up 25% to 28%. We are also raising our full year 2011 earnings per share guidance to $5.93 to $6.05 per share supported by net income growth of 45% to 47%. While these upward revisions in our outlook signify confidence in our ability to execute and overcome most economic and competitive threats, we believe the environment is ripe for unexpected challenges and have planned accordingly. There is no single metric we can use to highlight the progress we're making on our strategic initiatives but I am confident that our efforts and significant investments will show up clearly in our future earnings growth. We are in the midst of our annual strategic planning period and it is inspiring to witness the ability of this Polaris team to consistently deliver industry-leading, short-term financial returns while working diligently to diversify, expand and improve the company for the long term. Bennett will cover the highlights of our progress in Best in Powersports Plus, but the market share gains, low dealer inventories and strong fundamentals across each product line show our relentless commitment to winning in our core market. The second quarter was certainly the most active ever for our adjacency growth initiatives, as we closed 2 acquisitions and accelerated the growth of our Military and Bobcat businesses. Customer and market reaction to our Indian acquisition is exceptionally strong and the success of our initial integration activities has matched that strength. We have assembled a world-class team to execute the hard work involved in continuing the resurrection of this storied Indian brand to performance and market prominence. Whether it is related to design, engineering, assembly or distribution, this is work we understand and perform well. Combining the relaunch of Indian with Victory's resurgence gives us confidence that Polaris is on the way to creating the best heavyweight motorcycle portfolio in the industry. We are excited about our late June acquisition of Global Electric Motorcars or GEM. This is a strong brand in the electric low-speed vehicle space, and Polaris is well positioned to expand the sales and profitability of this small but strategically important business. GEM vehicles are predominantly sold to municipalities, universities, hotels and commercial customers, but some of our Polaris and Breeze deals will certainly provide inroads to new consumers. We announced our decision to relocate GEM operations into our Spirit Lake, Iowa factory and a number of talented GEM employees are relocating to the Minneapolis area alongside the commercial aspects of the business. We expect GEM to be accretive in 2012 and are excited about the opportunity to grow in the electric vehicle space with a well-known market leader. Our organic adjacencies also gained traction in the quarter, as our partnership with Bobcat continue to expand. Building upon strong retail demand from their North American consumer and commercial customers, Bobcat is beginning to market their Polaris-produced utility vehicles internationally. We continue to see good, long-term growth opportunities in this relationship. Polaris Defense delivered significant growth in the second quarter and completed the first half of 2011 with outstanding financials and perhaps even better strategic progress. We're offering innovative solutions to the war fighter, and the Polaris suite of products is generating increased interest from numerous DoD customers. Polaris International sales were up 28% in the first half of 2011 as our European team continued to defy the debt-driven economic concerns in much of that region. There are different, but notable challenges in Brazil, India and China but given the caliber of our leaders and their teams and the early interest in Polaris products, we are confident in our growth prospects in these important markets. Our LEAN journey accelerated in the second quarter as we progressed from mostly tactical improvements to building LEAN solutions into major business initiatives. As we to continue to enhance flow and reduce waste across our enterprise, we are more confident than ever that operations will remain a competitive advantage for Polaris. The combination of high quality growth and sharp operational execution is the foundation of our commitment to deliver strong financial performance, which is what we strive for every day, always. With that, I'll turn it over to our Chief Operating Officer, Bennett Morgan, who will provide additional insights into our operations and business unit performance.
Michael Malone: Thanks, Scott. Polaris operational momentum accelerated in the second quarter and we are hitting on all cylinders. North American retail sales were up 19% on rising consumer demand for Polaris products across all Polaris businesses. Dealer inventory remained essentially flat year-over-year with Side-By-Side inventory up to meet increased demand, offset by declines in Snow and ATV. Both Polaris and our dealers continue to improve on execution and add capability to our MVP go-to-market business model. Furthermore, we are seeing increasing acceleration in our businesses not measured by North American retail, PG&A, International and our emerging adjacencies, Bobcat and Military. Moving on to business unit performance. Let's start with Off-Road Vehicles. The Polaris ORV business had another outstanding quarter and continued to exceed our expectations. Second quarter sales were up 41% driven by across-the-board sales increases in Side-by-Side, ATVs, International, Bobcat and Military. Year-to-date, Off-Road Vehicles sales were up 47%. Polaris retail sales again significantly outperformed the industry with the North American second quarter ATV retail sales up mid-single digits and Side-by-Side sales up well over 20%. In comparison, second quarter North American core ATV industry sales remained sluggish, down mid-teens percent while the Side-By-Side industry sales appeared to grow nicely, around 10%. We continue to gain a significant amount of market share in both ATVs and Side-by-Sides driven by strength across the entire Polaris product lineup, in particular, led by strong RZR, RANGER and Sportsman sales. In its first 6 months, the new RZR XP 900 is turning faster than any previous ORV product in our history. To support these sales trends, ORV inventory is up slightly and while nearly optimal, remains a bit too tight on a few key products. We are looking forward to our upcoming Dealer Show in Nashville next week where we will unveil our latest innovations and new products to build on our momentum. Our adjacency efforts and results are gaining serious traction. Second quarter wholesale sales to Bobcat and our Defense business each more than doubled 2010 second quarter results. Bobcat continues to report increasing vehicle retail momentum and has again increased its forecast for the full year 2011, while our defense team continues to cultivate and land both core and new technology business. Snowmobiles. While the second quarter is a seasonally slow period for snowmobiles, second quarter sales increased to $6.8 million versus $2 million last year. Model Year '12, worldwide orders in Snow Check sales have been finalized, ending above our expectations and we are looking forward to the upcoming season to build further on our growth and competitive momentum. On-Road Vehicles and Victory Motorcycles. On-Road second quarter revenue was up 99% driven by Victory's continued improvement. North American 1400cc heavyweight motorcycle industry segment has begun to grow again with sales up mid-single digits in the second quarter and positive year-to-date. Victory had the strongest retail quarter in its history with sales up about 40% in the second quarter and over 20% year-to-date, driven by strong Cross Country and Cruiser sales. We continued to gain market share and year-to-date we have risen to the #2 player in our segment. Internationally sales remained very strong, outpacing North American retail growth year-to-date. Dealer inventory is good shape, about equal to last year and we continue to add strong new dealers to our worldwide dealer network. The second quarter saw important milestones in our On-Road business with the acquisitions of both Indian Motorcycles and Global Electric Motorcars. We are currently investigating both -- integrating both Indian and GEM into Polaris, focused on realizing the synergies that we've identified. Parts, Garments and Accessories. Our PG&A business momentum accelerated with second quarter sales up 23% driven by growth across the entire product portfolio but particularly by strong accessory sales, which were up over 35%. Year-to-date, PG&A sales are up 21%. Our strong track record of PG&A innovation continues, and next week, we will launch over 200 new products at our Dealer Show in Nashville. International. Our international business continues to grow rapidly with second quarter sales up 35%. All regions, Asia-Pacific, Latin America and EMEA grew sales significantly. Likewise, all product lines grew in the second quarter with Side-by-Side leading the way with Q2 revenue up over 50%. Polaris remains number one in European ORV, though the industry slowed a bit and it was down single digits in the second quarter. The European and Australian motorcycle industry grew single digits, with Victory gaining market share thanks to sales, again significantly outperforming the industry. The Russian Powersports market has rebounded nicely and we are seeing strong year-over-year growth in Russia. Our China subsidiary is already achieving breakeven profit status as we grow and build this key long-term market, while our India subsidiary is operational now and preparing for our Off-Road Vehicle launch in the third quarter. We continue to invest aggressively in our global team and markets and we are seeing momentum increase. Operational excellence. In just one year, our North American manufacturing realignment has made amazing progress. Without impacting production, we have transformed our largest plant, Roseau, consolidating our ATV lines, investing in a high volume more advanced Side-by-Side line to meet growth and adding laser and tube bending operations. Spirit Lake is in the midst of integrating production lines for Indian and GEM later this year and the Monterrey plant is now producing and shipping Off-Road Vehicle products to our dealer network with outstanding quality results. And now we've begun engine production. We now have over 600 employees in Monterrey and the project financials and timing milestones for our realignment project are right on schedule. Operational excellence initiatives continue to drive gross margin improvement, up 300 basis points year-over-year in the second quarter; and year-to-date gross margins are up 260 basis points. Most notably the improvements are holding to the net income line with second quarter at 8.0%, up 210 basis points versus the second quarter of 2010. Commodity cost pressures are rising. And looking forward, will continue to add year-over-year pressure for the balance of 2011. However, we are confident that our collective operational excellence initiatives, manufacturing realignment in Monterrey, warranty cost reduction due to improved quality, MVP and value engineering and strategic sourcing cost-down efforts and our LEAN activities, we will be able to override external pressures and we will continue to expand margins. With that, I'll turn it over to Mike.
Michael Malone: Thanks, Bennett, and good morning to everyone. I will begin with a more detailed discussion of our increased full year guidance for 2011 and some summary comments about the anticipated results for the second half of the year. Total company sales are now expected to increase 25% to 28% for the full year 2011, up from prior guidance of up 17% to 20%, with the individual businesses contributing as follows: Sales of Off-Road Vehicles are now expected to increase in the mid-20s percent range, with retail sales of Side-by-Side Vehicles and ATVs continuing to outpace the overall market, particularly in North America. Snowmobile sales are now expected to increase above 40% over last year, as we have finalized our dealer and Snow Check orders for Model Year 2012. For On-Road Vehicles, we now expect sales to be up 60% to 65% in 2011 due to the reasons Bennett discussed earlier. Additionally, the GEM company sales will be reported with our On-Road business for the remainder of the year. We now expect PG&A sales to increase in the mid-teens percent range, from the level we achieved last year. International sales are expected to increase 20% to 25% on the strength of each of our product lines and each global region. For operating expenses, we expect a slight decrease in the operating expenses as a percentage of sales for the full year 2011, as we begin to achieve some leverage from the sales increase this year. In dollar terms, we expect operating expenses to increase, primarily due to the continued infrastructure investments being made in International and adjacent markets as we continue to invest prudently in future growth opportunities. We also anticipate incremental integration costs related to the Indian and GEM acquisitions and increased incentive compensation plan expenses due to the higher expected profitability and the current higher stock price. The income tax provision rate for the full year 2011 is expected to be in the range of 34% to 34.5% of pretax income, which is unchanged from our previous guidance. As Scott stated earlier, our earnings per share for 2011 is now expected to be up 39% to 41% to $5.93 to $6.05 range. Net income for full year of 2011 is expected to increase at a higher percentage rate than the EPS, up 45% to 47%. As I've mentioned before, this difference is due to an anticipated increase in the number of diluted shares outstanding throughout 2011. The gross profit margin percentage generated during the second quarter was 29.2%, a 300 basis point improvement over the 2010 period. Our gross profit margin percentage continues to benefit from volume increases, ongoing cost reduction efforts, higher selling prices, lower warranty costs and favorable currency impacts. These positives for the second quarter were somewhat offset by the higher commodity cost environment Bennett spoke of, and an unfavorable product mix. As a result of the improvement in the gross profit margin in the first half of the year, we now expect our gross profit margin percentage for the full year 2011 to increase up to 220 basis points over the full year gross profit margin percentage of 26.6% last year driven largely by the same factors that influenced the second quarter improvement. The manufacturing realignment project we announced about a year ago now remains on schedule and on budget as Bennett indicated. We continue to expect the transition costs charged to the P&L to be in a range of $12 million to $14 million for the full year 2011, partially offset by the savings the project will start to generate in the second half of this year. Moving now to our balance sheet and liquidity profile. At quarter end, our cash balance was $262 million, an improvement of $96 million from the second quarter of last year. A private placement debt offering of $100 million was funded in May, and together with cash on hand was used to pay off our outstanding $200 million term loan. The average blended interest rate for the new long-term $100 million debt is fixed at about 4.4%. We are in the process of renegotiating the replacement for the $250 million revolving credit facility, which expires in December of this year. Factory inventories at the end of June were $286 million, a 29% increase from last year. Inventories were higher in support of stronger ORV consumer demand, the new acquisitions and to assist in the ramp-up of our Monterrey facility. By year end 2011, we expect factory inventory levels to be at similar levels to last year, which will yield an improvement in inventory turns. For the first half of 2011 year-to-date, our investments and capital expenditures and new product development tooling totaled $41 million, nearly double last year, largely due to an incremental $14 million spent year-to-date in capital expenditures for the manufacturing realignment project. Full year 2011 expectations for capital expenditures and depreciation are unchanged from prior guidance. Net cash provided by operating activities was $62 million for the first half of 2011, up 8% from last year due to the increased net income mostly offset by higher accounts receivables. We now expect cash flow provided by operating activities for the full year 2011 to increase at a double-digit percentage pace over last year. The retail credit programs with Sheffield, GE and HSBC continued to perform at acceptable and stabilized levels. For the first half of this year, the retail credit approval rate was 58% and the retail credit penetration rate was 35%, both of which are up modestly from last year. In closing, I would like to point out that for each of the third and the fourth quarters in the second half of 2011, we expect to once again set records for sales, net income and earnings per share. However, the year-over-year percentage growth rate in sales and profits is expected to be less than the percentage growth rates we have experienced in the first half of this year. This is due to the comparisons in the back half of the year being more difficult than it was in the first half of the year. As we've stated in previous conference calls, we were still significantly under-shipping retail sales in the first half of 2010 so the comparables were quite a bit easier in the first half of 2011 than they will be in the back half of 2011. I will now turn the call back over to Scott for some concluding comments.
Scott Wine: Thanks, Mike. As we have discussed this morning, the Polaris team and businesses delivered a stellar first half performance. However, we are not a group to rest on our laurels. So the hard work ahead in the second half and beyond is now our sole focus. Coming off a very strong second quarter retail demand and correspondingly low dealer inventories, we are confident that our positive momentum will continue throughout the second half. We take nothing for granted and will continue to work hard to gain market share and grow. Look for Victory to push especially hard for growth in the second half. Maintaining our momentum requires that we ramp up assembly operations to meet increasing demand. And to this end, I cannot speak highly enough of the broad Polaris team that worked with discipline and speed to create a new manufacturing facility in Monterrey in less than 12 months. We are in production for certain RANGER and RZR models and will continue to add products and capability in the months ahead. One of the long-term benefits of being in Monterrey is that we'll be able to transition certain sourcing activities from overseas to Mexico. As currencies fluctuate and commodity prices rise more quickly than expected, we must maintain flexible and diligent to limit the impact. We believe that through sourcing, hedging and pricing actions, and additional countermeasure as necessary, we will effectively deal with commodity price pressures. I spoke earlier about our adjacency progress, and I'm confident that both organically and through acquisitions, we are building important new growth opportunities for Polaris. International expansion is another key growth initiative and our investments outside of North America will continue. There is certainly no assurance that we'll be able to navigate Polaris away from all stormy seas in the second half of 2011, and we are prepared to lower our shoulders and push through the challenges that come our way. We expect to win the competitive battle and will strive to deliver winning performance in the third quarter and beyond. With that, I'll turn it over to Melissa to open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Scott from Sidoti & Company.
Scott Stember - Sidoti & Company, LLC: Could you maybe talk about the Military opportunity again? It says there, in your presentation, about the contract that you just got with Israeli Defense. Just talk about some of the international opportunities you have with the military and just how big this eventually could be.
Scott Wine: Yes, I mean, internationally, we've got -- actually where most of our sales ultimately end up into the Afghanistan and Iraq. So if you think about international markets in general, that's where most of the products are currently going. But we see opportunities in Australia. NATO presents a good opportunity for us. And as we expand our product portfolio both with technology and new vehicles, we think long term, this is a $200 million to $300 million business for us. And I think we've got the team in place now to get us there.
Scott Stember - Sidoti & Company, LLC: Where are sales running on an annualized basis now in military?
Scott Wine: They're growing.
Scott Stember - Sidoti & Company, LLC: Okay got you. And can you just talk about Bobcat? You talked about how they're starting to sell your product internationally. Could you talk about some of the markets and just some of the opportunities there as well?
Bennett Morgan: Scott, this is Bennett. We're very pleased with how the retail rate has increased within the Bobcat dealerships. Obviously, we don't deal directly with the Bobcat dealerships. It's their relationship. But they continue to increase their forecast year-over-year and they continue to have record sales months. So they're building momentum. And as we've alluded now, they are starting to penetrate international markets, which is new this year. And both companies continue to work on this codeveloped projects, and we continue to get closer to bringing that to market. So we're very excited about the success that we're having in market and the future for Bobcat.
Scott Stember - Sidoti & Company, LLC: And just moving over to Monterrey. Just how much -- obviously, this facility is just up and running right now, but I imagine with the growth rates that you have, you could perceive filling that up pretty quickly. Where would your capacity utilization be, let's say, once you're up fully running down in Monterrey?
Scott Wine: Scott, I think it's important to recognize -- our whole focus in this initiative has been around quality and scheduled discipline. So we're nowhere near capacity and in fact we haven't planned on running more than the single ship for quite some time. So there's tons of capacity in Monterrey but our focus with that factory is going to maintain on quality and schedule fidelity and not really to chase more cost upside. I mean, that's -- we've been very successful with that philosophy so far and we're going to stick to that in the months and years ahead.
Operator: Your next question comes from the line of Scott from KeyBanc Capital Markets.
Scott Hamann - KeyBanc Capital Markets Inc.: Just talk about some of the sequential weakness that you saw in the Off-Road segment internationally. I mean was it -- what segments was that in, what regions? And was it really more of a macro thing or was it competitively driven?
Bennett Morgan: I think, Scott, this is Bennett. What you're referring to as sequential weakness is maybe some weakness in the industry that we saw in the second quarter for Europe. Frankly, we didn't see any slowdown from our business at all. And in all honesty, Europe has kind of outperformed our expectations year-to-date based on what we’ve seen from the economy there. So we're not overly concerned with low single-digit quarter-over-quarter increases in ORV. It's frankly a little bit better than we expected, and we continue to be number one, and the broader EMEA team is feeling quite positive about their outlook for the balance of the year. So this isn't something that we're overly concerned about. Europe's reasonably tough sledding, and we continue to be able to push through and grow year-over-year from a Polaris standpoint and continue to be a leader in market share. So we're okay there.
Scott Hamann - KeyBanc Capital Markets Inc.: Okay. That's fair enough. Just I want to take a kind of high-level question on the On-Road business, and this is one that's clearly gone from a turnaround story to a growth story in my opinion. And I'm just curious about -- you've added some net dealers in Victory over the last several quarters and I'm curious about your plan for Victory dealerships, kind of where you are now, what the plan is. And then just wrapping up these 2 acquisitions with Victory, I mean, where do you see this business over the next couple years in terms of sales? And then, it seems like profitability is kind of close to breakeven now, where do you think you could be taking this out several years?
Scott Wine: Scott, I mean, we're obviously excited about the great work the team has done with Victory in getting that turned around. I mean the fundamentals with dealer inventory low, lots of potential there. And being able to add Indian to the portfolio, we're real excited about what that gives us for additional market share opportunities. We're very – see on a dealership perspective, we're still very underrepresented in the key MSAs, and so I think what you'll see as we move forward, it will be a very focused effort to add dealerships in the top motorcycle markets in the country rather than just add any dealer that we can get. Longer term, this is a 300, 500 maybe more, very big business for us. And we like the potential both here in North America and internationally. And as you know, we're pretty good at innovation. So I wouldn't think that we're done with the products that are coming out of the motorcycle portfolio any time soon. And then the electric vehicle, small electric vehicle space, it's a $1.6 billion overall market. GEM is a market leader, and we think we can really add our – Polaris’ capability of innovation and engineering and cost out and distribution has really helped that business expand so really good growth opportunity. I mean, the On-Road business is real and has big potential for us.
Scott Hamann - KeyBanc Capital Markets Inc.: I mean, is it fair to say that this year you're going to be still running pretty close to that break-even level in that segment?
Scott Wine: We said Victory was going to be profitable and they will be, and there's some work to do as we integrate the new business and take the restructuring cost and whatnot, but overall, there's -- our guidance includes whatever impact that has so there's not much there.
Operator: Your next question comes from the line of Greg from Citigroup.
Gregory Badishkanian - Citigroup Inc: Just here with the industry being a little bit sluggish, what led to acceleration in your business and the outsized growth versus the industry? Are there 1 or 2 big factors that are leading to that outperformance?
Bennett Morgan: Greg, this is Bennett. I think it's very similar to the story that you've heard from us for the last several quarters. I mean, our success isn't really based on one product or one model. We have built, I think, competitive advantage in innovation across really the entire armada, as Scott likes to call it, of our products. We're seeing strength in RANGER. We're seeing strength across our RZR lineup. Certainly, the RZR XP 900 has helped but it's really just one small part of it. And frankly, Sportsman sales have been strong as well. So that along with a really great dealer network that's really been bolstered by our innovations with MVP over the last couple of years, our ability to remain aggressive around marketing and advertising and we just have a tremendous amount of momentum right now. And people keep looking for it to slow down but frankly, we have not seen any signs of that at this point, and that feels pretty darn good.
Gregory Badishkanian - Citigroup Inc: Yes. And in terms of your competition, what are you seeing from particularly maybe the bigger Japanese competitors in terms of their promotions, availability of supply and inventory at the retail, what are you seeing from those guys?
Bennett Morgan: Yes. From a Japanese standpoint, obviously, with the whole tsunami and the issue there with the quake and so forth, within Powersports particularly, we have not, even as we've tried to monitor it, seen any kind of significant supply shortages. That said, I am sure that some of their factories and their supply base was impacted in Powersports. But again, we haven't seen it necessarily with dealers being out of product. Frankly, the promotional environment in the short term has been a little bit less than we expected, which has been a nice positive turnaround for us. We're not necessarily counting on that going forward. But the last few months, it's been a little bit more muted and maybe that's a reaction from the Japanese on some of the supply chain challenges that they had. But from a competitive standpoint, they seem to be engaged. They are certainly working at it. And we're seeing, I'd say, increased competitive focus as we've kind of signaled in Side-by-Sides over the last couple of years and we're continuing to watch that space very, very carefully. But again, we remain very confident in what we've done from our product innovation and our lead there and expect to build on that lead as we head into Nashville next week.
Gregory Badishkanian - Citigroup Inc: So last year was a great lineup, and it's been a great lineup the last few years. I think that's obviously part of the reason why you've gained share. Should we expect that same level of innovation to really drive sales at this show or is this going to be kind of a little bit more lackluster just because it's hard to keep up that level of innovation every year?
Bennett Morgan: Well, Greg, we never used the word lackluster, but it will be another good year. Again, it does get to be a challenge sometimes with the level of innovation. You have to constantly keep topping yourself, but we'll have a very good solid lineup that we'll introduce here in the next week. And again looking forward, the product pipeline as we go forward out over the next 5 years continues to look rich and robust. So we're feeling good from a product innovation standpoint.
Operator: Your next question comes from the line of Ed from RBC Capital Markets.
Edward Aaron - RBC Capital Markets, LLC: I guess, Mike, I wanted to ask you about the incentive comp accrual. It's a really big number this quarter and obviously you're having a great year. I'm just trying to get my head around the magnitude of that change and whether that number is likely to ultimately come down meaningfully as your growth rates normalize?
Michael Malone: Well, Ed, there's a number of factors going on in those accruals. It's largely related to the stock price. There's a fair amount of the variable compensation incentives that our employees have, our Board of Directors, our management and there's a lot that's dependent on the movement in the stock price. And as we all know, the price has escalated significantly and we need to recognize that in our accruals so that's the major driver. And the other driver is as our profitability increases and we exceed our expectation, then the accruals increase from that as well.
Edward Aaron - RBC Capital Markets, LLC: Okay. And then on the recent acquisition, the GEM deal, you haven't talked about it much in specifics, and maybe this is something we can get into next week. But having had a chance to go in there and take a look at things now, just at a high level wondering if you've seen any surprises relative to what you expected to see?
Scott Wine: No, Ed, I think we pretty much knew what we were getting into. I mean, Chrysler has owned the business for about a decade or so and it wasn't a core business for them so we expected to see an opportunity to add some value on the commercial side around not only sales and marketing but around distribution, and that's kind of what we've found. Naturally, Polaris brings a capability around the design and innovation and engineering and sourcing, and those were opportunities we expected to see and they're playing out largely like we expected them to be.
Edward Aaron - RBC Capital Markets, LLC: Okay. And then one last one if I could, maybe for Bennett. You talked about dealer inventory being, with the exception of a couple of products where you’re maybe like close to optimal. I kind of noticed that, that was very similar language to what you used around this time last year. Your inventories are kind of flat year-over-year while your retail sales are up almost 20%. And I guess I’m trying to kind of square that against guess why you don't need to build some more inventory than what you are right now.
Bennett Morgan: I think that's a fair question, Ed. Obviously, as you do your surveys and the guys do your surveys, particularly when we're in a growth mode like this, our view of what optimal inventory may be slightly different than what our dealers’ view of optimal inventory. We have a pretty sophisticated system around shipping to retail, and we don't believe we're losing, even with the lower inventory levels, losing anything material from a retail sales standpoint. That said, I think that as you talk to our dealers, there's certainly pressure points on certain models where they'd look for more. As a company, we're generally going to err a little bit on the short side versus a little bit on the long side. That's just how we want to run the railroad, and we also believe with the improvements and the LEAN initiatives that we're doing within our facility on lead times and delivery, that the opportunity is that inventory can continue to get a little bit better over time even as we reached towards optimal levels. So I think that's why you see us continuing to say that even with the growth that we can continue to manage inventory levels. With that said I mean, I think as your guys’ surveys have pointed out we can still do a better job on delivery and most of that miss is not really related to MVP but frankly, it's more in relation to that we continue to significantly outpace our expectations and our dealers' expectations on retail sales based on how much we are outperforming the industry at Polaris. So again, it's an opportunity for improvement, but we feel pretty good about where we are.
Operator: Your next question comes from the line of Tim from Wells Fargo Securities.
Timothy Conder - Wells Fargo Securities, LLC: A couple of things here. The MVP program, Bennett, you were just touching on it a little bit there but the -- basically, you said at the last dealer meeting a year ago that you're rolling out sort of last tranche of that domestically, and then you mentioned that you're continuing to see benefits of that. When do you feel you sort of get the large amount of the full benefits of the MVP program? Will that continue on through the first half of '12, all of '12 I guess? And then also, Harley mentioned as it relates to motorcycles and granted the Japanese really aren't impacting Victory and they're not really impacting Harley, but they cited the statistics that in the second quarter 70% of all Japanese retail sales in the U.S. were noncurrent models. What's your updated view on where the Japanese stand with what's in their inventory and as far as getting that cleared out on motorcycles and maybe on the ORV side?
Bennett Morgan: All right. Let me take the second question first, Tim. From a Japanese standpoint on the Off-Road Vehicle products, kind of ATVs and Side-by-Sides, what Harley is reporting is probably a little different than what we see in those categories. I think their mix is more current than it's been in several years. I think their inventories are in control or maybe low. And I think again, when you talk about the promotion environment, I think that's why you see a pretty healthy industry right now. So I would characterize the Japanese in good shape there. Our motorcycles, I mean -- and I'm not going to argue with what Harley is telling you. They probably do have more non-current pressure, and that's a little bit higher than perhaps what we would have saw from our numbers. But our sense is they're healthier on ATVs and Side-by-Sides than they've been in several quarters or years frankly, and that shapes up pretty well. In relation to the MVP question, that was a fairly complex question you asked. But our view is when we release something like an MVP, it's very much like a product plan. I mean, there is levels of innovation and improvements that we continue to make to the program over a period of years, and we've continued to do that with MVP even as we've launched this over the last couple of years. Our view is we're kind of in the early to middle innings on the improvements in that we can do and our dealers can do with this MVP go-to-market business model. In the early stages when you talk about inventory correction and so forth as we brought the full set of the dealers on board in our ORV business, a lot of that benefit does anniversary really almost by the end of this calendar year. But there are additional enhancements we're doing around on retail and going after different share and segments and some other improvements that we do as we continue to drive towards industry-leading customer satisfaction that should drive further profitability improvements for ourselves and our dealers going forward. So we're still pretty excited about the leverage MVP brings to both parties over the next number of years.
Edward Aaron - RBC Capital Markets, LLC: Okay. Okay. And Scott, 2 questions here on -- you touched on it in your preamble, Latin America distribution timetable. I think you mentioned last quarter that you guys have an assembly operation set up in Brazil to sort of deal with some of the tariff issues down there and you're building out -- starting to build out your distribution in Latin America, which is already an established predominantly Off-Road market. But you've proven very well that you can take on the Japanese. Give us an update there. And then just maybe a little bit more color, if you can on India, China. So that's the international distribution question. Separately, you have 2 acquisitions under the belt, starting to integrate those. Do you take a little pause here to get that done as well as the continuing ongoing operations? Or could there be some near-term appetite if the right thing came along?
Scott Wine: All right. And I'll try to hit these fairly quickly. You asked about Brazil. Right now, our primary focus in Brazil is around building the infrastructure for the business. We hired a great leader for the country and he's putting his team together and getting things set up, and we're preparing for a fairly aggressive launch there. So we're not as aggressively -- we're not actually pushing out distribution yet while we work to build out our launch plans. We got a great, great team and feel very comfortable that that's still a very large potential market for us. China and India, as Bennett alluded to, we're going to be profitable this year in China. We got a nice and several hundred vehicle order from one of the provinces for RANGERs. And we feel like initially selling our core Polaris products made here in the United States, that's a bigger opportunity than we originally planned. India, as Bennett has also mentioned, is going to have a launch in Q3 of their RANGER product and they're building out distribution, and we're learning all along. So what we've done in China, we're starting to take the lessons learned and apply it in India. And really we're building the infrastructure and expect much significantly larger things from those businesses in the years ahead. We cannot get there selling our current portfolio of products so expect a lot more of investment and opportunities for significant growth going forward. The acquisition staff, I mean, the team did a really nice job. I mean, I think, sometimes we underestimate the talent and capability of the Polaris team. We've got Monterrey up and running. We got a couple of acquisitions done. So by no means, are we going to say, okay, gosh, we got to stop and do these. These were small deals. A lot of the heavy-lifting for integration is already completed. And Todd's busy; we see lots of opportunities for niche companies to add profitable growth to our company. And I think that may happen later this year. It may happen next year. But the first 2 won't cause us to take pause.
Operator: Your next question comes from the line of Mark from Feltl and Company.
Mark Smith - Feltl and Company, Inc.: First, can you walk though a little bit of what you're seeing competitively mainly in the Sports Side-by-Side as others come out with new products to compete with the RZR?
Bennett Morgan: Yes, Mark, this is Bennett. Frankly, we haven't had any formal announcements for Model Year '12 yet on the Side-by-Sides. You guys have probably seen the news from Arctic Cat around their Wildcat. We don't have a time on that -- timeframe on that yet. And we continue to be very aggressive around our product development around RZRs, creating new segments. And as we head into Nashville, again, we feel very good about what we got going with RZR and continue to grow that category from a Polaris standpoint. So we expect that category to get more crowded and to get more aggressive, and our product plan reflects that. And again, as we get to Nashville, I think you'll like what you'll see.
Mark Smith - Feltl and Company, Inc.: Good. And then second, can you just give any update on contracts or hedging on commodities?
Michael Malone: Sure. This is Mike. We are -- as we've talked about before, we do hedge certain commodities with financial instruments. We also have relationships with our suppliers where we do price locks and those kinds of things that are more short term for the next quarter or so. So we've got a number of those established in the short term through the second half of this year. We do have -- specifically, we do have aluminum and diesel fuel commodity contracts through -- at certain levels through the balance of this year.
Operator: Your next question comes from the line of Joe from Raymond James.
Joseph Hovorka - Raymond James & Associates, Inc.: Just a couple of question. One, Mike, did you give the wholesale portfolio at the quarter end that you usually give?
Michael Malone: I did not, but I will. Let me look it up.
Joseph Hovorka - Raymond James & Associates, Inc.: Okay. And then while you're doing that, can you confirm that both Indian and GEM closed before June 30 in the 2Q?
Michael Malone: Yes.
Joseph Hovorka - Raymond James & Associates, Inc.: They did?
Michael Malone: Yes. The wholesale portfolio is $455 million.
Joseph Hovorka - Raymond James & Associates, Inc.: Okay. Benn, I think you mentioned that Victory is now #2 in its segment. How did you define that segment?
Bennett Morgan: That segment is -- the segments we compete in which is 1400cc motorcycles in North America and that obviously, encompasses both Cruisers and Touring.
Joseph Hovorka - Raymond James & Associates, Inc.: And then last question, how many Bobcat dealers are you now selling through?
Bennett Morgan: Joe, we don't have that number exactly. We're not selling -- obviously, we sell to Bobcat and they have the relationship with the dealers. So their dealer network I think in the U.S. is approaching 600, would be my estimate. That's an estimate. And I would say we're in the majority of those dealers.
Joseph Hovorka - Raymond James & Associates, Inc.: And is the -- do you think the dealer footprint there has grown over the last 12 months or is this all kind of comp growth in the same dealers that you're seeing?
Bennett Morgan: I think it's primarily comp growth. Again, we launched this in the second quarter of last year. Started shipping last year in this quarter, and frankly, I think what we've seen over the last couple of quarters is the dealer same-store sale ramp-up is increasing. I mean, we probably penetrated a few additional Bobcat guys as they've picked up on it but I think it's more that they've had the product in there for 6 months to a year now, and they're starting to figure out how to sell it better and customers are aware of the product, and they're having more success with it.
Joseph Hovorka - Raymond James & Associates, Inc.: And the $600 million, is that a North American number? Or is that a worldwide number?
Bennett Morgan: I believe that's a North America number and I would be a little bit rue if you quoted me on that. But that's my recollection off the top of my head, Joe.
Joseph Hovorka - Raymond James & Associates, Inc.: Okay. But you did -- there was a comment earlier on the call where you said that Bobcat was actually gaining some momentum internationally. Did I hear that right?
Bennett Morgan: Yes, what they had not taken that this product line internationally, and they have started to sell that in the last quarter into a couple of key international markets. So it's very early in their international expansion, but I think that's encouraging development.
Joseph Hovorka - Raymond James & Associates, Inc.: You said that started this quarter, 2Q?
Bennett Morgan: That's my belief, yes.
Joseph Hovorka - Raymond James & Associates, Inc.: Okay. And then one last Bobcat question. How many SKUs are you selling into Bobcat at this point?
Bennett Morgan: Well, they have close to a dozen different models, which is probably a little too many.
Operator: Your next question comes from the line of Craig from Robert W. Baird.
Craig Kennison - Robert W. Baird & Co. Incorporated: Scott, I wanted to give you the chance to maybe provide us with some milestones or some benchmarks by which we should judge the success of Indian and GEM whether it’s market share or the number of dealers. What should we look at over the next 12, 18 months that would indicate whether you guys are executing on your strategy?
Scott Wine: Yes. I think that's a fair -- I mean, to be clear, every acquisition we ever do, it's going to be about operating income and cash flow as the key measures of their success. And when we can really start to tell if we’ve done what we thought we're going to do is when they start contributing. As I said earlier, in my prepared remarks, we expect GEM to be accretive in 2012. Indian obviously is going to take a little bit more work. And that one, I don't know that we're going to have great milestones to give you. It's really going to be a maintain and support the current product lineup with dealers. We think the bikes -- they're beautiful bikes right now. In fact, I've been riding one all summer and really enjoy it. So we're going to continue to support the current lineup and current dealer network. As I mentioned, we're going to look to expand Victory and Indian dealers into the key MSAs in metropolitan areas where they sell the most bikes where we're currently underrepresented. And that as we start to build that out, it's probably going to be a more 12 to 24 months rather than the next 6 to 10. So expect that to happen over time, but that's the kind of heavy lifting we'll be doing. Over the next couple of years, we're going to relaunch a truly exceptional lineup of Indian Motorcycles. And I think when that happens, that will be the major milestone you should look for. And from that point forward, you'll see a fairly rapid ramp up in sales and profitability. But unfortunately, a lot of it is going to be behind the curtain while we're doing that redesign work for the bikes.
Craig Kennison - Robert W. Baird & Co. Incorporated: And then Bennett, a question for you. We've seen some manufacturers in motorcycles in particular, choose this opportunity to raise price. Do you see any opportunities in any of your products maybe get a little more on price given the supply-demand dynamic you face?
Bennett Morgan: Yes. We're watching the competitive price environment closely, Craig, and we've taken a little bit of price mostly to offset the pretty significant commodity pressure we're seeing year-over-year. And so you'll see us take a little price in Model Year '12 and we took a little bit earlier in the year as well. And again it's mostly just to, again, offset the higher input costs that we're seeing, more so than any kind of issue around supply and demand.
Operator: And your last question comes from the line of Jimmy from B. Riley.
Chris Armbruster - B. Riley & Co., LLC: This is Chris Armbruster on the call for Jimmy. Can you guys, maybe in your domestic ORV business, tell me if you're observing any meaningful geographic disparity in the rate of acceleration in retail demand?
Bennett Morgan: Yes, Chris, this is Bennett. Kind of as you've seen the U.S. economy, the Southwest area has obviously, been a little slower to recover than the balance of the U.S. And if there's any meaningful separation there, it has to do with that. If you look at the mix of our product through that, it traditionally has been a little bit of a younger group and much more of a sport-oriented product, which I think also is contributing to the fact that, that region is performing -- underperforming versus the other regions. Other than that, it's fairly similar or normalized, I would say.
Chris Armbruster - B. Riley & Co., LLC: Okay. And then just real quick on the strategy of putting cash to work. Can you talk a little bit about your -- whether or not your acquisition strategy is impacting your appetite for share repurchases? And then should we maybe be looking for a continuation of smaller deals or are there any kind of larger opportunities in the pipeline?
Scott Wine: I think the way to look at our capital allocation model is very consistent with what we said previously. Our first objective is to invest in opportunities to get above GDP growth opportunities. Sometimes that will come with capital investments in our current business. And sometimes that will come through acquisitions. And we still see a healthy opportunity out there for acquisitions to add to our portfolio. We're not looking to do a huge deal. That's not anywhere in what we're looking at, but certainly I wouldn't look at the size of GEM and Indian and say that's where we're always going to buy. Share buybacks are going to be an important part of what we do. We're not -- we're going to try to get to the point where we're neutral on the impact of share dilution. We got a lot of work to do to get there, but it's really investing in growth be it organic or acquisitions. It's make sure that we pay a -- we're a dividend paying company. So we'll always have a healthy dividend policy, and then we'll look to buy back shares as it makes sense.
Richard Edwards: Okay. Thanks. And that's all the time we have this morning. We appreciate everybody listening into the call, and we look forward to seeing you next week if you’re coming to the Analyst Meeting in Nashville. Otherwise, we'll talk to you next quarter. Thanks again. Goodbye.
Operator: And that concludes today's conference call. You may now disconnect.